Operator: Good morning, and welcome to DSW's First Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Christina Cheng, Senior Director of Investor Relations. Please go ahead.
Christina Cheng - Senior Director-Investor Relations: Thanks, Andrew. Good morning, and welcome to DSW's first quarter conference call. Earlier today, we issued a press release detailing the results of operations for the 13-week period ended May 2, 2015. Please note that various remarks made about the future expectations, plans and prospects of the company constitute forward-looking statements. Actual results may differ materially from those indicated by these forward-looking statements due to various factors including those listed in today's press release, in our public filings with the SEC. Joining us today are Mike MacDonald, President and CEO; Debbie Ferrée, Vice Chairman and Chief Merchandising Officer; and Mary Meixelsperger, our Chief Financial Officer. Mary will start with a short discussion of our first quarter results and discuss our outlook for the full year. Mike will share additional color on the quarter and provide an update on our strategic initiatives. After prepared remarks, we will open the floor for Q&A. With that, I'll turn the call over to Mary.
Mary Meixelsperger - Chief Financial Officer: Thank you, Christina, and good morning, everyone. Our first quarter results were a good start to our 2015 spring season. Sales for the quarter increased 9.4% to $655 million, driven by a 5% comparable sales increase for the DSW segment. We are pleased to report that all the categories contributed to comp growth despite port delays. Transactions for the DSW segment increased in the low-single-digit range. We chose not to repeat an unprofitable online promotion from last year, resulted in lower conversion online. However, in-store conversion rate increased. Average unit retails increased in the low-single digits, while units per transactions were flat, resulting in a low-single-digit increase than average dollar sales. With the opening of 18 new stores, DSW store base increased by 10%, and total square footage increased by 7.4% over last year. In our Affiliated Business Group, first-quarter comp increased 5% as well. Total sales for the quarter grew 8%. We were pleased with our ABG performance, which benefited from strong merchandise assortments. ABG opened three stores and ended the quarter with a total of 374 departments in operations. Total company gross profit for the quarter increased 110 basis points. Merchandise margin increased 85 basis points. Our spring assortments demonstrated better sell-through rates, which improved markdown by roughly 155 basis points. This was partly offset by lower initial markup, cost related to our rewards program, and higher shipping expenses. Combined, these factors negatively impacted merch margin by 70 basis points. Occupancy, distribution and fulfillment center rates for the total company leveraged by 25 basis points, compared to last year. Operating expense rate delevered by 10 basis points in the first quarter, with stock and incentive compensation deleverage, partially offset by the leverage of store and home office expenses. Town Shoes of Canada contributed a loss of $0.01 per share. Town Shoes' profits are seasonally skewed towards the second through fourth quarter. We expect full-year Town Shoes profitability to exceed last year. Our net income increased by 22.6% to $47.4 million. Shares outstanding were 89.6 million, compared to 92.1 million last year. As a result, earnings per share for the first quarter increased 26.2% to $0.53 per share, generally consistent with our expectations. Turning to the balance sheet. We ended the quarter with cash, short- and long-term investments of $456 million. During the quarter, we liquidated $79 million of investments to purchase CAD 100 million in anticipation of funding the future purchase of the remaining interest in Town Shoes of Canada. Although, the definitive date of this transaction is not currently set, we decided to take advantage of the favorable U.S. dollar to Canadian dollar exchange rates, which has been trading near record high. We are in the process of investing in the Canadian currency. Once invested, future foreign currency gains and losses will flow through other comprehensive income on the balance sheet. We've recognized $3.3 million of foreign currency gains in Q1 non-operating income related to the Canadian dollar holdings. Inventories at the end of the quarter were up 13.8% on a cost per square foot basis. Excluding pre-buys, inventories were up 8.5% on a cost per square foot. The increase in pre-buy inventory was due to the purchase, primarily of all 2015 pre-buys and a multi-season buy of hard-to-access brands. We estimate that close to half of the 8.5% increase relates to the timing of deliveries. Capital expenditures for the first quarter were $27.3 million, of which $15 million was spent on new stores and store remodels, and the balance was spent on technology, distribution center and facility projects. We continue to guide full-year EPS of $1.80 to $1.90. We expect full-year comparable sales growth in the low- to mid-single digits and full-year total sales to increase in the 7% to 8% range. We plan to open 35 to 40 new stores this year, including nine small format stores. We continue to expect full-year merchandise margins to improve modestly with lower markdowns, partly offset by category mix, shipping expenses, and expenses related to enhancing our rewards program. For the full-year, we expect to see occupancy leverage above 2% to 3% comp growth. We expect distribution and fulfillment rate to remain flat. We continue to project operating expenses to increase in the low double-digit range for the full-year, driven by higher stock and incentive compensation expense as we've discussed last quarter. We assume full-year tax rate of 39% and shares outstanding of 90 million shares. We project the contribution from Town Shoes of Canada in the range of $0.03 to $0.04 per share, which will be recorded below the line as income from equity investments. With that, I will turn the call over to Mike.
Michael R. MacDonald - President and Chief Executive Officer: Thanks, Mary, and good morning. As Mary described, we were pleased with the start of our spring season, which comped up 5% despite changes or challenges created by West Coast port delays. [Technical Difficulties] (8:00 – 13:15) The women's category increased comps by 4% with reg-price comps stronger than clearance-price comps. I was pleased that all subcategories in women's posted positive comp sales including the casual and dress businesses, which were impacted most significantly from the port delays. Comps for the seasonal business increased in the high-single digit range, helped by the early release of pre-buys that bolstered our sandal inventory position. Athletic footwear grew comps in the low double-digits during the quarter with fashion athletic driving out-sized growth. We allocated more open-to-buy dollars from the casual category into athletic, and provided effective marketing support that helped drive our athletic momentum. The men's business increased comps in the low-single digit range. Growth in men's seasonal and fashion areas, partly offset softness in the traditional dress area. Men's boots drove a healthy sales increase for the quarter. Our accessories business posted a low-single digit comp led by fashion accessories, hosiery and jewelry. The Midwest, South and West regions all posted mid-single digit comp growth. The Northeast and the Mid-Atlantic regions posted low-single-digit comp growth, experiencing more severe weather compared to last year.
Operator: Excuse me. This is the operator once again. Just one moment, please. [Technical Difficulties] (14:54 – 21:59) Thank you very much. Just in case you didn't hear, we had 4% comps in women's. It was across dress, casual and seasonal. We had low-double-digit comps in athletic, driven by fashion athletic. Men's comped up in the low-single-digit range. Accessories comped up in the low-single-digit range. And we had regional performance that varied a little bit which we attribute most to weather differences. We opened 18 new stores this quarter and are pleased to report that our new stores are meeting our sales expectations. We now have a total of 13 small format stores in operation. We found that these small format stores in aggregate generate a higher level of in-store demanded omnichannel sales than our average stores. And we think that indicates that our omnichannel capabilities have and will benefit the performance of our small format stores going forward. As we discussed last quarter, we provided full points for clearance purchases to rewards members beginning this fiscal year. We believe full points on clearance is another way to enhance our value proposition. This enhancement also simplifies our ability to communicate the benefits of our rewards program to customers. We, obviously, need more time, and we will update you as we have more history with this revised program. This March, we introduced DSW's Spring Marketing Campaign, which features real people in real-life settings. The campaign is resonated among the many of our customers and friends. Coupled with our compelling assortment, our marketing helped drive solid gains in multi-channel traffic. Total traffic for the quarter including stores online and mobile was up 7% to last year. Our focus this year is to expand the customers' access to our full assortment. A customer typically finds 2,500 choices in a single store out of the more than 15,000 choices that we carry across DSW. Since we started our ship-from-store program, customers can now access DSW's entire assortment no matter where they shop, and have their orders shipped for free. This capability has transformed our 450 stores into a network of many distribution centers. Customers and associates have embraced this feature rapidly, allowing us to increase our omnichannel sales last year to almost $100 million. A test of new endless aisle technology is now live in 10 of our stores. This test includes digital displays in 500 stores and an associate-facing mobile app in all 10 locations. The digital displays provide extended colors, sizes, product reviews and related styles through strategically located touchscreens. In addition, with our mobile app, associates can better service customer needs in the aisle by providing wider range of product choices, access to saved wishlists and reward certificates and the ability to complete their transaction from anywhere in the store. A customer can complete both an in-store and a ship-to-home purchase in a single transaction. I look forward to updating you on the results of this test as the year progresses. In order to optimize the adoption of these tools, we are implementing an updated store service model. This updated model emphasizes a handful of behaviors that facilitate more meaningful engagement with the customer. We have also put in place a new labor scheduling tool that matches associates' scheduling with peak traffic hours based on historical hourly traffic patterns. At the same time, the system also provides our associates improved visibility and flexibility over their schedules. We believe these changes will improve the customer experience, store conversion and associate satisfaction. We've recently completed a significant upgrade of the DSW.com platform. This upgrade provides us with features and functionality that will be the basis for future digital demand growth. Customers shopping for products online will now find a dramatic improvement in search results. This is particularly important as we expand the breadth of SKUs and increase the number of drop ship vendors on DSW.com. This upgrade improves our site visibility for product-related queries conducted on search engines. This upgrade was implemented seamlessly and it opens the door for powerful capabilities like Buy Online, Pick-up In-Store and personalization. We continue our phased implementation of the assortment planning system, which we are using to localize store assortments based on customer preferences. We're now fully functional on the pre-season planning phase of the system. And we have begun the implementation of the in-season forecasting phase. We expect that we'll start to see benefits from this investment in 2016. Later this year, we will roll-out Buy Online, Pick-up In-Store and Buy-Online, Ship-To-Store. Buy-Online, Pick-up In-Store and Ship-To-Store are critical for many customers who do not have the capability to receive packages securely at their homes. These capabilities provide additional convenience to customers who prefer to pre-shop buy online before picking up the item in store. We will also implement order routing optimization, which uses a new algorithm that selects our slowest-moving inventory to fulfill digital orders. Finally, so far this year, Town Shoes of Canada has opened four DSW Canada stores averaging 20,000 square feet in the cities of Whitby, Calgary and Edmonton. Similar to our first two stores in the Greater Toronto Area, these new DSW Canada stores have received strong support from their local communities. The first six stores have met our initial expectations, and we plan to open another six in the fall for a total of 12 DSW Canada stores by the end of the year. In summary, we were very encouraged with our first quarter performance. We're pleased with the customer response to our merchandise strategy this spring. We're expanding the customers' access to DSW's entire assortment, while bringing our full breadth of choices into every store. With our investments, we'll deliver a unique, endless aisle experience that differentiates DSW and positions us as the customer's first choice for footwear. And with that, I'll hopefully turn over to the operator for questions.
Operator: The first question comes from Patrick McKeever of MKM Partners. Please go ahead.
Patrick G. McKeever - MKM Partners LLC: Great. Thank you very much. Yeah. I was just wondering if you could talk, Mike, about the percent of the business now that is off-price buys or opportunistic buys. And I'm wondering if you've seen any – I mean, clearly, you've seen some incremental opportunities from the port situation, but wondering if there's any change in the strategy there in terms of increasing the penetration of off-price buys. I think previously you had said somewhere in the low-double digits was the ultimate goal.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah. This is Debbie Ferrée. Good morning. So, opportunity buys, closed-out buys, there are a lot of deals in the market right now and currently our penetration of those opportunities is in the low-double-digit range. I think we called out before on a previous call that we would be happy to have that range go from 10% to 15% in terms of opportunity buys. And that's where we're landing right now. But there are a lot of great deals in the market out there. There is plenty of goods in the market. We have the ability to be a lot more disciplined and strategic about the goods we take. And we found a lot of good opportunities. So, between 10% and 15% is our goal. If that would have flowed a little bit higher, and it was the right product at the right price, that wouldn't disappoint me.
Patrick G. McKeever - MKM Partners LLC: And then just as a follow-up on, just on the cost side of the business. I mean, did you incur some incremental costs because of the ports disruptions in terms of added shipping costs, rerouting costs, those kinds of things? Was that a material factor in terms of earnings?
Michael R. MacDonald - President and Chief Executive Officer: Not material.
Patrick G. McKeever - MKM Partners LLC: Okay. Great. Thank you.
Operator: The next question comes from David Mann of Johnson Rice. Please go ahead.
David M. Mann - Johnson Rice & Co. LLC: Yes. Thank you. Good morning. Nice quarter. Following up on that question about opportunistic buys, just curious about what implications that has for margins. I know you didn't change your merchandise margin guidance, but it would seem like you might have an opportunity to have bought things a little better that might have some positive implications there.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yes, David. There were a lot of characteristics around those buys. In some cases, we can get significantly better cost, and we can do one of two things with that. We can pass more value on to the consumer. We can also use it to leverage where our IMU and our margins are right now. So, I would tell you it was a combination of all the above factors. And I really don't like to just talk about port delays. I will just tell you overall there are plenty of goods in the market. We don't have full knowledge on did it come from the port delay, was it a cancellation from a brand, was it an in-stock position that a wholesaler took. All I know that there are some really good deals out there right now, and we're being very strategic and disciplined about what we take and when we take them and what we're paying.
David M. Mann - Johnson Rice & Co. LLC: And then to follow up, can you talk a little bit about the performance of sandals and open-toe shoes? And generally, how might you be trending out of the quarter into the second quarter?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Sure. So, sandals had a nice comp, as Mike mentioned, going forward. We were very pleased with our sandal business in Q1. That came from a couple of different places. Our regular on-order, but some of the pre-buys that we actually were able to access last year, and put in the pack and hold, we actually were able to accelerate some of those pre-buys to offset some of the potential receipt risk in the port delays. So we were pleased with our comps. We were pleased with our inventory position. Going forward, we do – as we typically do, we're going to plan it conservatively, and we're going to chase in to what customer tells us they want to buy. So, from a liquidity position, we're in good shape. Goods available for sale and sandals Q2, we're pleased with that, both with content and the value we're passing to consumer. There's liquidity in the event that there are some really good opportunities out there additional that we want to take advantage of. So I'm overall pleased with that category where we performed and what it looks like for the balance of the season.
David M. Mann - Johnson Rice & Co. LLC: Thank you.
Operator: The next question comes from Chris Svezia from Susquehanna. Please go ahead.
Chris Svezia - Susquehanna Financial Group LLLP: Good morning, everyone. Nice job. Mike, you've been generous in the past in terms of providing some color either, A, about the comp trajectory in the most recent quarter and sort of how you're trending so far quarter-to-date. Any color that you can share with us? If the business obviously accelerated and whether or not that acceleration is continuing into the second quarter?
Michael R. MacDonald - President and Chief Executive Officer: Well, Chris, I'm not sure you're accurate. I've been generous in the past.
Chris Svezia - Susquehanna Financial Group LLLP: I'm trying to be nice here, Mike. I'm trying to get whatever I can out of you. So, I'm sweet-talking you. Come on.
Michael R. MacDonald - President and Chief Executive Officer: Yeah. But in all honesty, even if I were inclined to give that kind of insight, I think it'd be hard to do it accurately just because of a shift of Easter that advantaged the earlier weeks in the quarter and disadvantaged the later weeks in the quarter. So, we always look at Marpl, the combination of March and April, and that was strong and solid.
Chris Svezia - Susquehanna Financial Group LLLP: Okay. And anything about second quarter or no, not going to go there?
Michael R. MacDonald - President and Chief Executive Officer: No, sir.
Chris Svezia - Susquehanna Financial Group LLLP: Okay, I had to try. So I'm curious, just switching gears for a sec, just on the merchandise margin, the 70 basis points from shipping and the rewards program, is that, Mary, something we should expect for the balance of the year? And when do you anniversary that pressure? When does that abate? Is that in the fourth quarter?
Mary Meixelsperger - Chief Financial Officer: Yeah. Well, the different components of it have different timing for the balance of the year. So we had really started more of our pricing actions in Q2 of last year. So the IMU component of that in Q1 should start to abate in the balance of the year and have a more modest impact, as should the shipping component. We really began our full-year free shipping in the second quarter last year on a more full basis. So while we'll continue to see shipping costs increase in total, because more of our sales are being done direct-to-consumer, we should see some abatement from that. I'll tell you that in total, my expectation is that we'll still see some modest deleverage from those three sources for the balance of the year.
Chris Svezia - Susquehanna Financial Group LLLP: Okay. That's helpful. And then, Debbie, one for you, I think you mentioned the casual business had turned comp positive. First time we've heard that in a while, if I have that correct. And maybe talk through what's driving it, and I'm sure it's a much smaller piece of the business than it had been historically. Just maybe talk about that a little bit.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Sure. So, we went – if you remember, Chris, in Q4, casual's comp down 8%, and we saw that comp 1% positive for Q1 of this year, just to give you a frame of reference. So, as we talked about last season, there's a lot of excitement happening in casuals. There are some new brands that are coming into the fold, and there's some strengthening of existing brands as we all look to this whole lifestyle shift on the casualization of the lifestyle. So, we see new silhouettes, new brands, all entering the fold and adding some nice comps. So you're seeing a mix shift under the covers from certain brands. Some are getting weaker. Some are getting stronger, and that is what directionally helped us with the comp for Q1.
Chris Svezia - Susquehanna Financial Group LLLP: Okay. Thank you very much. All the best. Thank you.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Thank you.
Operator: The next question comes from Kelly Chen of Telsey Advisory Group. Please go ahead.
Kelly Chen - Telsey Advisory Group LLC: Hey, guys. Congrats on a nice quarter. I just wanted to piggyback a little bit more on Chris' question. But if we talk about the merch margin for a little bit. Mary, it seems like you guys got 85 basis points in the first quarter. It seems like there's even more opportunity in the second quarter. Can you just talk about your expectations for the full year? I understand there's still a drag from the shipping and whatnot, but why is there only just a modest improvement for the year?
Mary Meixelsperger - Chief Financial Officer: Kelly, was your question, what – could you repeat the last part of the question?
Kelly Chen - Telsey Advisory Group LLC: Sure. Just trying to get more color around your expectation for a modest improvement in the merch margin for the year. It seems like you guys got off to such a good start in the first quarter, and that there's even more opportunity in the second. So just trying to understand that full-year guidance for the merch margin. Just a little more color on that.
Mary Meixelsperger - Chief Financial Officer: Yeah. So, I would tell you probably the single most significant area within the merch margin that's going to have an impact on us is in the rewards program with the full points on clearance. We did see in Q1 impacts there as well as, if you recall, we had some good news last year from shortening up the timeframe for certificate redemption from six months to three months. So, by not repeating that good news from last year combined with offering full points on clearance, that will provide some additional impact on the overall merch margins for the full year. So, I think that where we're looking at, we do expect overall IMU to be down very modestly year-over-year maintaining some of that pricing sharpness that we had begun last year. We also are looking at some modest deleverage in shipping. And then we do see an improvement in markdowns that we expect to see in Q2, and then more modestly flattened out for the balance of the year. So, that's kind of the overall view of where the merch margin should be.
Kelly Chen - Telsey Advisory Group LLC: Great. That's really helpful. And then, Debbie, you talked a little bit about the women's casual. But could you just talk a little bit about how you feel about the fashion content now that you're seeing it. It seems like there's more newness in the space. Do you think that's the case? And could you also just talk specifically about athletic? It sounds like you guys are doing really well there and that you're seeing a bit of a shift towards sports style. Do you think you're better positioned to capitalize on that leisure trend this year?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, thank you for that question. And I'm going to really break it down into three different parts, because I think there were three different questions in that. In the dress shoe area, from a silhouette point of view, you talked about fashion, there aren't a whole lot of new styles coming out in dress. But the way that – and we stabilized that category. But the way we've infused fashion as an excitement there is to how we detailed the shoes. So, I still see some excitement in material interest, colors and how we detail. But once again, I want to emphasize, I think we've stabilized the dress business. I really don't look for a significant increase in penetration of that business. I think we're out of the trough and we're in a good stable place right now. In the casual area, I look at that in two ways. Number one, just the women's black-and-brown casuals which I think is being infused by a lot of excitement in this whole modern comfort, modern athleisure trend. And I'm not going to call out any brand names, but there are some new brands that have come into the fold in the industry that are doing exceptionally well, and some of the traditional classic brands have kind of a – have a little bit of weakness associated with them. But we're really excited about what some of these new brands are in terms of what they're bringing in terms of comps and margin. As far as athletic is concerned, the fashion piece of the athletic business is very, very different from last year. So, fashion actually contributes about 46% of the business versus 40% last year, so there's a lot of new fashion coming there, and it tends to be mostly in the young attitude junior area. So, those comps were in the high-double digits, and we continue to see strength in the fashion athletic piece of the business, so the combination of the traditional casual, the fashionable shoes there with the new brands and the athletic fashion, I think have laid a new solid foundation for us. And I think we have a pretty good growth trajectory ahead of us on that.
Kelly Chen - Telsey Advisory Group LLC: Thank you. Very helpful.
Operator: The next question comes from Camilo Lyon of Canaccord Genuity. Please go ahead.
Camilo R. Lyon - Canaccord Genuity, Inc.: Thanks and good morning, everyone. Nice job on the quarter. Mike or Mary, I was hoping you could just give a little bit more detail on the excess inventory that you've seen – or maybe this is a better question for Debbie. I think what companies have been saying is that the port situation has, for the most part, now been resolved from an inventory flow perspective. I'm curious to know how much opportunity you still have left, whether it's something termed in a timing kind of perspective, or however you want to quantify it. It sounds like as of the quarter-end, you had about $25 million worth of pre-buy inventory. I'm curious to understand what the total opportunity you see being in terms of the pre-buys that you have in front of you.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So directionally, let me just tell you about what we see coming out of – from a content point of view. The lists, the opportunities have been consistent in the market. As I said before, it's really hard to tell where that's coming from. But I really don't care where it's coming from. I just know that there's a lot of – plenty of goods out there, a lot of good opportunities and we're able to be very selective. We saw those lists, those opportunities slow down a little bit, I think at the end of – at the very, very end of Q1, beginning of Q2. But now, they've picked back up again. So I think that having a new close-out buyer in place that lives in New York and is on the ground every single day and is able to continue to elevate all sorts of opportunities to us, have helped us, number one. And number two, there's just a general good flow of off-price opportunities out there.
Camilo R. Lyon - Canaccord Genuity, Inc.: Would you be able to say what the current pre-buys represent of your expected total pre-buys in this period? So, does $25 million equated to half of what you think you might be able to get or a quarter of what you think you might be able to get? Is there any sort of way to put some sort of quantification around it?
Michael R. MacDonald - President and Chief Executive Officer: Let me try that one, Camilo. I think Debbie has been clear, she wants her opportunistic buy penetration to be in the 10% to 15% area. And right now, at the end of Q1. And not all of that goes through pre-buys, but a lot of it does. And at the end of Q1, we have about 5% of our inventory invested in pre-buys. So, those are sort of the ditches that you can fit the question between.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great. That's helpful. And then, just, Debbie, how long do you think you'll be able to use the product that you're buying now? Is this product meant for Q2 and Q3 or does it have a longer life, useful life to it?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: All of the above. So, the opportunities that we've been getting through Q1 even now, part of that can be used as flow-through. In other words, receipt it now and flow it directly to the stores depending on what our need, what the demand is by category based on sales projections. Some of it right – that we will get now, we will hold for a spring 2016 packaway; that will be opportunity buys that are good products. In my opinion, it doesn't age, and they're great values for the consumer. So, we'll put that away for pre-buys for the future. And part of our pre-buy on hand right now is opportunities that we bought last fall that will start to flow in fall of 2015. So, we're very surgical about what we buy. Is it flow-through? Is it pre-buy? And we make sure that we are putting at the appropriate bucket, so that when the customer sees it, it is the right item at the right price.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great. And then, Mike, if – I get a lot of – a lot of the questions I get surround competition. And you've done a lot over the past year or so to improve your value messaging. How would you characterize your competitive position right now in the market, especially when speaking about your online competition, and how do you view your assortment relative to some of the online competitors?
Michael R. MacDonald - President and Chief Executive Officer: Well, I think that we've put a stake in the ground about a year ago when we said we are not going to let our value proposition and our reputation be diminished in any way. And that's when Debbie had heard merchants identified some key items, recognizable, knowable price points that she took action on and have been taking action on ever since. And I think once those price points took effect, you saw the inflection point in our sales trend. We are monitoring our values on identical and similar items from brick-and-mortar retailers, from online retailers and from multichannel retailers. It's an ongoing process, and it's something that we pay a lot of attention to. And I can assure you, we are investing in tools that will enhance our ability to monitor that pricing environment. So, value is a critical, one of our brand cornerstones that we see as essential to our success. And so, we're paying a lot of attention to it.
Camilo R. Lyon - Canaccord Genuity, Inc.: Okay. And then just my final questions on the assortment planning and you've talked a lot about the implementation of it. And when we should expect to see some of the benefits really starting in 2016? But is there a possibility for some of that improvement to manifest earlier this year as you're implementing that on the pre-season buys for the fall assortment and starting to do the in-season buys? Is there an opportunity to have an improved full price comp either in Q3 and Q4 as that program rolls out?
Michael R. MacDonald - President and Chief Executive Officer: It's possible, but the people in our organization who are closest to it, advised us not to count on it, and that's why we've consistently said count on it beginning in 2016. And I think the reason for that is that there are fundamental changes in who does what within our merchandise planning and allocation and buying areas. And there's a lot of changed management that we're having to manage through. And so, just understanding how the system operates and who does what is a lot for us to absorb. And that's why we think that the first season's receipts that were planned using assortment planning, probably won't have a lot of benefit, but should beginning next year. And I'm not internally counting on any benefit from AP this year.
Operator: The next question comes from Scott Krasik of Buckingham Research. Please go ahead.
Scott D. Krasik - The Buckingham Research Group, Inc.: Yeah. Hi, everyone. Thanks. A couple of questions. So, first, maybe if you could just help us understand, building on Camilo's question, not just the competitive environment, but how do you view how the season is going to go from a promotional standpoint, and just balance the fact that maybe some traditional retailers canceled orders, which created excess buys for you? Do you get the sense your competitions' inventories are pretty clean, so that the season will be fairly less promotional year-over-year?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: I can't comment on our competitor's inventories. I see basically the same thing that everyone else sees. You have the brick-and-mortar point of view and you have the dotcom point of view. But I really don't know what their inventory positions are or, better than that, the quality of the content of their inventory. All I know is that we are a value retailer. We pass good value onto our customers. And we've been more disciplined than ever over the last year to really make sure that every single week, we're evaluating our level of inventories, sell-throughs by item as we review, outdate some sell-throughs. And so, the discipline and rigor around how we're evaluating content, it's higher than it's ever been before. So, I believe we're pass – we have the right content. The goods available for sale Q2, I like what we have. I like how we priced it. I don't know what may or may not happen differently than last year in the promotional environment. But I believe that our content is strong enough to weather whatever we know right now.
Michael R. MacDonald - President and Chief Executive Officer: And if I could, Scott, just add on to what Debbie said, the way we manage our business is every item that we bring in has a date by which we anticipate we are going to move in into clearance. And we have an assumption as to how much of that item we will sell-through at right price. And what that allows us to do is on an item-by-item basis, monitor sell-through rates throughout the season. And if our sell-through rates are faster than we anticipated, maybe we'll chase that business and get more in or moving into clearance later, and if the sell-throughs are slower than what we anticipated, then maybe we'll move those goods in the clearance faster than we would have thought. But we're monitoring that on a weekly basis. Now the one thing that I am a little excited about is something I've put into the script, and that is a new algorithm we're going to use to figure out where we fulfill digital demand from. And that will give us just another arrow in our quiver as to how we manage inventory lumps that pop up on a store-by-store basis. But the most important thing I wanted to emphasize is that we're focused on units and sell-through rates and when we need to move it out of reg price into clearance, and we're pretty vigilant, as Debbie said, about managing to that process.
Scott D. Krasik - The Buckingham Research Group, Inc.: No, thank you, Mike. And then just if I could squeeze in two more. One on SG&A, it seemed like this was the quarter maybe that you would have the toughest comparison and it would grow the most. It was only up 10%. So, maybe comment on why you still think it's going to grow double-digit for the year. And then your stock is down still almost 10% since the beginning of the year. How does this not qualify as an opportunistic time to be buying your own stock even though you have the Canadian obligation? So it seems like there's a lot of excess cash there. Thanks
Mary Meixelsperger - Chief Financial Officer: Scott, the SG&A side, the impact in Q1 was pretty much in line with our expectations. So we do expect that continued higher SG&A in the balance of the year. And I think you'll see that tilt slightly towards Q2 in terms of the higher impact. And as it relates to the value of the shares, we certainly appreciate your input. We've always taken a very opportunistic approach to share repurchase. And, as we've said in the past, we require open window. And then we have a sub-committee of the board that makes the determination in terms of the value. And both of those things have to be in place for us to act. And in fact, we took no action in Q1.
Scott D. Krasik - The Buckingham Research Group, Inc.: Thank you.
Operator: The next question comes from Kelly Bari (sic) [Taposh Bari] of Goldman Sachs. Please go ahead.
Taposh Bari - Goldman Sachs & Co.: Hey. Good morning. It's Taposh Bari. I've got a multi-part question on merchandise margin. I'll just kind of read them off. First, can you tell us what merchandise margins were or what the year-over-year change was for the DSW segment? Two, how did that figure compared to your internal plan for the quarter? Three, the ABG gross margins were down pretty meaningfully. If you can explain to us why that happened and if it was kind of transient. And then finally, a lot of questions on opportunistic buys. Can you help quantify how impactful that was or how much it benefited your first quarter merch margins?
Michael R. MacDonald - President and Chief Executive Officer: So, let me start. I think you'll see the DSW margin performance in the press release. Secondly, we really don't comment against the plan on a line item basis. But I think in Mary's script she said that our performance in the quarter was generally in line with our expectations. The ABG margin contraction was really the result of an asset impairment that we took in the quarter. And can you be a little more specific on your comment about or your question about opportunistic buys?
Taposh Bari - Goldman Sachs & Co.: Yeah. I was just under the impression that the opportunity to buy some more off-price was allowing you to kind of lower your cost basis for some goods in-season and kind of help subsidize some of that IMU pressure we've been seeing. I was hoping you can quantify the impact.
Michael R. MacDonald - President and Chief Executive Officer: Yeah. I mean, I think Debbie said it well when she said there's been a lot out there. We've been able to be strategic and selective about that. And the fact that we've got a closeout buyer in place advantages us versus others who don't have that kind of singular point of contact with the supplier community. But Debbie also was pretty clear in saying that we always have a choice as to whether we want to try and convert those cost advantages to margin enhancement or we want to convert it to stronger values to the customer. And I don't think we have a scorekeeping system that tells us exactly how much of the time we've done the former and how much of the time we've done the latter. There was some markup on goods sold contraction in the quarter versus prior years. And that's a continuation of some of the work we did last year to sharpen our price points. And we did that on an item-by-item, style-by-style basis. And we're continuing that, and coming around the horn on that initiative that we started, as Mary said, in the second quarter of last year.
Taposh Bari - Goldman Sachs & Co.: Great. And...
Michael R. MacDonald - President and Chief Executive Officer: It's really impossible for me to identify just how much of the time we took it to margin, and how much of the time we've converted it into value for the customer. I just don't have a mechanism to do that.
Taposh Bari - Goldman Sachs & Co.: Got it. That's helpful. And then just a quick follow-up on small stores. It sounds like that strategy is working out to your plan. Can you just remind us what your plans are ultimately with the small-store format, where you're opening them, and what the next phase of growth could be for that format if things continue to go according to your plans?
Michael R. MacDonald - President and Chief Executive Officer: Well, here's what I'd say. We are encouraged by the performance. We started opening those small-format stores at the tail end of 2013. And then we opened some more in 2014, and we've opened some in 2015. And the 2015 stores are doing better than the 2014 stores. And the 2014 stores are doing better than the 2013 stores. I'm not trying to characterize that we've gotten smart. I'm just telling you that the trend has gotten better. We continue to fine-tune that model, and we fine tune it from a cost-of-buildout perspective and from a rent-negotiation perspective and from a volume-expectation perspective. And importantly, we are using those small-format stores – a couple of them – to test out some of our new endless aisle technology, which is going to be important to all of our stores. But I think it's especially important to the small format stores that have a choice count that's roughly half what a full-sized DSW store would have. The endless aisle technology and service model tests that I mentioned in my part of the script are even more important to the small-format stores. But we have actually not declared what the build-out potential is for the small-format stores. And I'm not going to do that here today because we haven't made that determination. Suffice to say, we think it's significant. And we'll be declarative about that as soon as we're able to, but not yet.
Taposh Bari - Goldman Sachs & Co.: Great. Thank you and best of luck for the rest of the year.
Michael R. MacDonald - President and Chief Executive Officer: Thank you.
Operator: The next question comes from Jeff Van Sinderen of B. Riley. Please go ahead.
Jeff Van Sinderen - B. Riley & Co. LLC: Good morning. And I wonder if you can just follow-up a little bit more on athletic, concentration of athletic. Is that sort of morphing a little bit in the women's business in casual athletics? Maybe you can talk about where you see that, and how you're thinking about that. And then if you could also follow-up on the Kids' business, where you stand on that at this point. Thanks.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yes. Good morning. So, we were really pleased with the athletic performance that we had for the quarter. That was up in a healthy mid-double digit increase range. I believe we quoted 14%. The good thing about that is there are many new things happening in that business that I see continuing into second and even third quarter to support early back-to-school and into fall. The fashion piece of the business, as I mentioned before, is increasing relative to performance, although those fashion and performance are getting nice comp increases. So, I'm pleased with what we see there. I'm pleased with the brands that we have that obviously are resonating well with our customer. And the values that we've got on these brands are resonating well. We actually don't start lapping big headwinds or big increases until Q4 of this year. So, I think we have a nice headwind or tailwind in athletic ahead of us for the next couple of quarters. Kids', right now, let me just refresh your memory that it is online, and we do have it in 20 stores, and Kids' continues to do exceptionally well. It is one of the growth businesses that we have declared for the future, and we are looking to expand that in DSW. I'm not sure that we've proclaimed exactly how many doors and when that's going to happen, but we're working on that right now, and we're pretty excited about that because what we found is that the consumer, when offered children's shoes, when they have kids in the house, actually have an opportunity to give us more adult footwear wallet share. And so we're excited about that business. That's what's happening now, and we are going to be looking to expand that.
Jeff Van Sinderen - B. Riley & Co. LLC: Okay. Great. Good to hear and good luck for the rest of the quarter.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Thank you.
Operator: And due to time constraints, the last question will come from Sam Poser from Sterne Agee. Please go ahead.
Sam Poser - Sterne Agee CRT: Good morning, and thank you for taking my question. I just have – Debbie, I have a question, I mean, about the initial markup in the gross margin. It sounds to me like you're offering better value to your customers, so the less markdowns are really helping drive the improved merchandise margin. Am I thinking about that correctly?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yes.
Sam Poser - Sterne Agee CRT: And why would – and I guess, Mary, why would that change over time? That's something – it's proving out that you're doing that very well. Why would that moderate throughout the year?
Mary Meixelsperger - Chief Financial Officer: The primary reason is we actually had very good performance in markdowns in Q3 and Q4 of last year, and we were up against much worse markdown performance in the spring season of last year. So, as we basically lap spring of last year, our markdown improvements will be significantly better this year in spring than in fall.
Sam Poser - Sterne Agee CRT: So I mean, we would expect – I would think, Q2 merch margins, then, to be high again, and then possibly merch margins being down in the back half. Is that the correct way to think about it? And I have one more thing for Debbie.
Mary Meixelsperger - Chief Financial Officer: Well, I think the better way to think about it, Sam, is that you're going to see consistent improvement in margins through the spring season similar to what you saw in Q1. And then just modest improvement in the back half.
Sam Poser - Sterne Agee CRT: Got you. Thank you. And then, Debbie, at the CEO Summit, you talked about the new way that you're addressing your customers and thinking about DSW as a brand. You sort of hinted at – some of that that was hinted out on the call. Can you just give us an update on that sort of – how the DSW brand is evolving?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah. So what we really talked about at the conference, Sam, was about 14 months to 16 months ago, we really took a pause and said we really do want to step back and understand our customer more deeply. So, we narrowed the lens. We're more specific around the target customer, which allows you to be a lot more precise about your assortment architecture and how you market to those consumers. So that was the big story that I think I talked about. And then we also talked about how you speak to the customers. So being more engaging with the customers, how do we do that? And then also the impact of digital for the future and how we're really using digital to be where the customer is and how we speak to them. So, those were the three big takeaways, I think, from the conference was is narrowing our lens and being much more precise about who we're focusing on and leveraging all of the intelligence that we have to be more personal and engaging with the customer, and then how do we actually see our marketing spend in terms of traditional versus digital.
Sam Poser - Sterne Agee CRT: And where are you in that continuum right now of getting to where you want to be?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: We're in the early stages. The research was done, like I said, 14 months to 16 months ago. We have put our plans together, and we are in the early part of our journey, which I think I mentioned when I was down there. So, there is a – good things to come, but we're in the early part of the journey there.
Sam Poser - Sterne Agee CRT: Thank you very much and good luck.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: You're welcome. Thanks, Sam.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mike MacDonald, Chief Executive Officer, for any closing remarks.
Michael R. MacDonald - President and Chief Executive Officer: Sure. Thanks very much and thanks to all of you on the call for your interest, your participation, and today, for your patience with our technological difficulties which we will try to remedy before the next call. Thanks again. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.